Operator: Good day, and welcome to the Exela Technologies earnings update. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Vince Kondaveeti, Head of Investor Relations. Please go ahead.
Vince Kondaveeti: Thank you, Dave, and good afternoon. Welcome to our earnings call to discuss our fourth quarter and full year results for the period ended December 31, 2023. Our presentation has been posted to the IR section of our website. Speakers on today's call are Par Chadha, Executive Chairman; and Matt Brown, our Interim Chief Financial Officer. Today's agenda will be as follows: Par will provide an overview of our results and update you on our strategic initiatives. Matt will then walk you through some financial metrics. And finally, we will end with Q&A. We expect this call to last well under an hour. Some of the matters we will discuss in today's call are forward looking and involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from those in such forward-looking statements. Such risks and uncertainties are set forth in our presentation. So with that, I'll turn over the call to Par, our Executive Chairman.
Par Chadha: Thank you, Vin. Good evening, and thanks, everyone, for joining our Q4 and full year 2023 business update call. We ended the year with many positives, but as always, there's more work to be done. Exela is in motion. We have said in the past, our goal is to convert actions into results. We are poised to do just that. May I suggest everybody take a look at Slide #4. It's my pleasure to share some highlights of Q4 and full year 2023. Some of the accomplishments -- key accomplishments that we did in 2023. While we did accomplish many but not all, our revenue for 2023 was $1.064 billion. It was lower by 1.2% year-over-year. Some of the revenue decline was due to network outage in 2022 and also due to the sale of our high-speed scanner business. Our accelerators worked hard and won incremental business even with some dark clouds. We expanded some existing customer contracts. This all helped mitigate some of the revenue declines. We were -- our efforts to work with the industry research organization were also well received and paid off. We received several recognitions from the -- some of the best industry research organization that cover us. This speaks to the strength and value proposition of our business model. Our customers like it and it's nice to also have the growing recognition of the experts. All of the hard work we put in, in 2022, we started to see benefits in 2023. Business and cost management focus continues, and we have much more to accomplish. For example, gross margins in 2023 improved by $31 million. All this -- in prior calls, we've talked about automation. And that's what has allowed us to deliver 1.2% less revenue with 1,900 or 11.8% less employees. That means our strategy of automation and delivering more with less is working. Our adjusted EBITDA was just $60 million. We did have a fair amount of expenses related to 2026 debt exchange that completed in 2023 in the summer, also XBP Europe expenses. We were successful in reducing our debt. We built in some flexibility in our documentation. We also completed the listing of XBP Europe, which now trades on NASDAQ under XBP. Let's take a look at Slide #5. A message I would like to leave on this slide is our strategy that paid off while in 2023, continues in 2024. I really see no reason to change what's working. So we plan to just forge ahead. We did good by optimizing revenue and cost and we'll continue to go down this path and make more progress in 2024. We won $198 million in annual contract value in the past year. Our renewal rates were impacted partly by the 2022 event that I have mentioned before. To serve our customers better, we continue to make investments. These investments are broad. We have made investments in people. We continue to invest more in automation. We are doing many things to improve the user experience such that our customers make it easy for them to do business with us. We're making investments, as Matt will talk about in his talk in cloud operations. And of course, yes, in artificial intelligence in AI. We want to expand our wallet share. To do that, we are also adding new services. Two of our newer growth initiatives, one is FAO services, another one is [reactor.ai]. We've included links to these services that are available on their respective websites. These are very exciting areas for growth for us. Check them out. We are very excited about our solutions. And we are grateful to our team and grateful to our customers. We want to be a very valuable solution partner with our customers' journey, not in just digital but also now in AI-enabled services. With that strategic update, I'll hand over the floor to Matt Brown, who has done a great job. After Matt is finished with his talk, we'll open it up for Q&A. Take it away, Matt.
Matt Brown: Thanks, Par, and good afternoon, everyone. This is Matt Brown, Interim CFO. We reported revenues of $1.064 billion for 2023, reflecting a slight decrease of 1.2% year-over-year. At the segment level, ITPS declined by 4%, offset by growth in our Healthcare Solutions and Legal and Loss Prevention Services segments by approximately 5% and 11%, respectively. ITPS decline was primarily driven by the sale of our high-speed scanner manufacturing and maintenance business in June of '23, impact from the 2022 network outage and loss renewals, offset by continued cross-sell and 130 new logo wins. Q4 FY '23 were down 0.9% year-over-year, grew sequentially by 4.5% quarter-over-quarter, primarily driven by a large new logo and growth in our top customers. Full year gross margins improved by $31 million year-over-year or 310 basis points. Profit improvement was driven primarily by increased automation, headcount reductions of approximately 1,900 employees and reduced administrative spend. Cost savings are partially offset by investments in talent and cost migration from CapEx, which is down $10 million year-over-year, moving to OpEx as we ship from our data center infrastructure to cloud computing. We have made good progress on savings initiatives but still have significant opportunity for margin improvement in 2024. Our net loss narrowed to $124.4 million, an improvement of $291.4 million compared to the prior year. And cash flow from operations turned positive in 2023, with more than $90 million in improvement over '22. In our EBITDA reconciliation, you can see our walk to $60 million in adjusted EBITDA removing nonoperational gains and adding back transaction and certain onetime costs. We've simplified our EBITDA adjustments and are not including add-backs for optimization and restructuring or any historically recurring costs or savings initiatives. For 2022 versus '23, our year-over-year adjustments are coming down significantly and our EBITDA and cash EBITDA are converging. I'll point out that the drop in Q4 EBITDA was primarily driven by a number of charges we've taken for litigation settlement, bad debt reserves and dark facilities. On the balance sheet, we achieved a significant reduction in current liabilities year-over-year by over $115 million. While we saw a partial benefit in 2023 with a $25 million reduction in overall interest expense, our Q4 interest expense is down nearly 40% year-over-year. In 2024, our focus remains on driving revenue stabilization, margin improvement and strategic growth initiatives. We are optimistic about the opportunities ahead, especially with our investments in emerging growth areas. In closing, I want to express my gratitude to our dedicated team, our customers and our investors for their continued support. We are executing diligently on our path to recovery and growth, and we look forward to sharing our progress in the coming quarters. Thank you, and we will now open the line up for questions.
Operator: [Operator Instructions] The first question comes from Craig Carlozzi with Algebris.
Craig Carlozzi: It's been a while since we've heard your corporate vision. I guess, first and foremost, can you talk about where liquidity is and how you feel about liquidity and levers you can pull to potentially improve liquidity, asset sales or really how you see bridging the cash flow needs of the business to the point where operationally, the business is in the place to sustain itself.
Par Chadha: Matt, if it's okay, maybe I'll kick it off, and you can add to it.
Matt Brown: Sure.
Par Chadha: Okay. Craig, thank you for asking the question. History is a great -- we believe in history, and it's a great way to look at what we have done in the past to predict what we'll do in the future. This last year, we did not really raise any equity. We have under the business, take down a lot of the servicing of the debt in using both, as Matt pointed out, increase in our cash flow and -- but we stayed within our swimlanes. And at this time, we are -- we have -- although we have many levers to pull and we will continue to both expand liquidity and pull levers. But it will be premature for us to talk about what we will do and when we will do at this time.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Par Chadha for any closing remarks.
Par Chadha: I'm very grateful to all of our stakeholders, employees, customers and I wish everybody a very happy Wednesday and the rest of the week and look forward to covering and discussing Q1 results in the next coming few weeks. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.